Operator: Hello and welcome to the Corcept Therapeutics’ Conference Call. My name is Manisha. I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note this conference is being recorded. I will now turn the call over to Charlie Robb. You may begin.
Charlie Robb: Thank you. Good afternoon everyone. I am, Charlie Rob, Corcept Therapeutics’ Chief Financial Officer. Joining me today is Dr. Joseph Belanoff, our Chief Executive Officer. Thank you for participating in this call. Earlier today, we issued a news release setting forth our second quarter summary financial results. Complete results will be available when we file our second quarter report on Form 10-Q with the Securities and Exchange Commission. To obtain a copy of this release, go to www.corcept.com and click News. Today’s call is being recorded. A replay maybe heard through August 22, 2013, at 1-888-843-7419 from the United States and 1-630-652-3042, internationally. The pass code is 35403018. I remind you that we will be making forward-looking statements. Such statements might include statements related to the pace of Korlym’s acceptance by physicians and patients, the reimbursement decisions of government or private insurers, the pace of enrollment in our Phase 3 trial of mifepristone for the treatment of psychotic depression. Our decision to perform an interim analysis of data from that trial and the timing of our disclosure of the results of that analysis. The effects of rapid technological change in competition, or the cost, pace and success of our work with selective GR-II antagonists. These statements are only predictions and involve known and unknown risks and uncertainties, including the risks outlined under Risk Factors and elsewhere in our filings with the Securities and Exchange Commission, which can be accessed at www.corcept.com and sec.gov. Although we believe the expectations reflected in our forward-looking statements are reasonable, we cannot guarantee future results, events, levels of activity, performance or achievement. We are not under any duty to update forward-looking statements, unless required by law. Before I turn the call over to Dr. Belanoff, I will recap our financial results for the first quarter – I’m sorry for the second quarter. For the second quarter of 2013, we recognized net revenue of $1.9 million compared to $1.7 million in the first quarter. However, our revenue for the second quarter was $2.3 million on a non-GAAP basis. To explain, I have to give a bit of background. We dispensed Korlym through a single specialty pharmacy, in order to improve the services to patients in the second quarter, we transitioned it to a new specialty pharmacy Centric Health Services, which resulted in a reduction in our reported revenue. During the second quarter, our former specialty pharmacy reduced its inventory of Korlym tablets by, one, purchasing fewer tablets than is dispensed in the quarter, which resulted in $100,000 less revenue then if its inventory levels had not changed. And two, returning the tablets it did not dispense which reduced revenue by an additional $300,000. As I said, without these reductions, our net revenue would have been $2.3 million on a non-GAAP basis. Our new specialty pharmacy Centric dispenses Korlym on a consignment basis. For that reason, there were no initial stock up purchases of Korlym by Centric to offset the inventory reductions and product returns by our prior pharmacy. We reported a net loss of $11.9 million or $0.12 per share for the second quarter of 2013 compared to a net loss of $7.6 million or $0.9 per share for the same period in 2012. The net loss for the second quarter of 2013 and the corresponding period in 2012 included significant non-cash stock-based compensation expenses of $1.3 million and $0.9 million respectively. In the second quarter, we also recorded non-cash accreted interest expenses related to our capped royalty financing transaction of $1.1 million. After adjusting for these non-cash expenses, our net loss on a non-GAAP basis was $9.5 million or $0.10 per share for the second quarter of 2013 compared to $6.7 million or $0.8 per share for the same period in 2012. The company’s cash balance as of June 30, 2013 was $72.2 million compared to $81.5 million at March 31, 2013. I would now turn the call over back to Dr. Belanoff. Joe?
Dr. Joseph Belanoff: Thank you, Charlie and thank you all for joining us. Many of you are familiar with Corcept and our first product Korlym, but for those of you who are not, I’ll provide some background. The FDA approved Korlym for the treatment of endogenous Cushing’s syndrome in February 2012. Cushing’s syndrome is a devastating life threatening illness. It’s usually caused by a single tumor that produces too much cortisol by tumor that produces too much ACTH, which in-turn stimulates the body to produce too much cortisol. Cortisol is often referred to in the lay press as the stress hormone and it is essential for life. Unfortunately, in excess, it causes severe and sometimes lethal illness. Korlym works by competitively blocking one of the body’s two receptors for cortisol, powerful results in many patients. Prior to Korlym’s approval, we took the steps we prudently could to prepare for Korlym’s commercialization. As a result of these early efforts, private and public insurers promptly covered the cost of Korlym. However, to conserve funds, we postponed building much of our commercial infrastructure and promotional capabilities until after Korlym’s approval. For instance, we did not begin hiring and training medical science liaisons until late spring and summer of last year, but we learned that a significant number of patients suffering from Cushing’s syndrome are treated by community endocrinologists. We’ve hired a team of experienced sales representatives, now 19 in number, who began calling on doctors in the fourth quarter of 2012. Over the past few quarters, we’ve learned a lot about which doctors treat the most Cushing’s syndrome patients and about how best to communicate Korlym’s benefits to them. We’ve also developed the better understanding of the specialty pharmacy and other services the patients with Cushing’s syndrome need. We’ve adapted our business accordingly. Most recently, as Charlie mentioned earlier, we’ve moved out pharmacy services activities to Centric, which specializes in dispensing orphan drugs. We believe Centric’s close attention to the needs that each patient and its understanding of the special characteristic of orphan disease medications will improve patient care and help build our business. For all these changes to our commercial activities, it is important not to lose sight of our most powerful commercial tool, Korlym [works] (ph). We’ve always believed that our biggest challenge in commercializing Korlym would be getting endocrinologists to write their first prescriptions, but the positive outcomes would lead them to write prescriptions for their second, third, and fourth patients. This is happening. I want to address briefly Corcept’s other strategic priorities. Our ongoing Phase 3 study of mifepristone for the treatment of psychotic depression and the development of our next-generation selective cortisol antagonists, as its name suggests, psychotic depression consists of major depression coupled with psychosis which means delusions or hallucinations. It is a severe episodic illness that afflicts 2 million to 3 million people in the United States. People suffering from it are 70 times more likely to commit suicide than those who do not have the disease. It really is a bad illness. There is no FDA approved treatment. Our current Phase 3 trial is investigating where Korlym administrated at a dose of 1200 milligrams per day for 7 days will lead to a rapid and sustained improvement in these patients’ psychotic symptoms. As we have stated before, we plan to perform an interim analysis of the trial data, and we will submit our proposed interim analysis plan to the FDA shortly. Once the FDA has approved our plan, we will disclose its material details. We expect to announce the results of that analysis during the third quarter of 2014. If the results are positive, we plan to submit an NDA shortly thereafter. I would also like to update you on our progress in our drug discovery program. As we’ve discussed in several previous conference calls and at conferences, evidence in the scientific literature suggest that modulating cortisol activity may have utility in treating many conditions including weight gain caused by an atypical antipsychotic medications, post traumatic stress disorder, mild cognitive impairment, early Alzheimer’s disease, alcoholism, breast and ovarian cancer and psychotic depression. For instance, at the recent Endocrine Society Meeting in St. Francisco, a group from the University of Chicago, presented results from studies in cell culture and animal models indicating the GR-II antagonisms since includes biologic response in triple negative breast cancer. They submitted an abstract to present the first human data at the St. Antonio breast cancer symposium in December. We have produced more than 300 proprietary next generation selected Tier-2 antagonists that like Korlym competitively block the receptacle of cortisol if you now block the progesterone receptor and therefore do not terminate pregnancy. We selected several of these compounds for further development although the outcome of this work is in the future we hope our efforts will yield several new and important medications. To sum up we’re pleased to see how well patients taking Korlym are doing and if the number of physicians writing initial prescription for Korlym continues to increase as is the number of physicians issuing prescriptions for additional patients after seeing results in their first patient. Over the past few quarters we made important changes in our business. We believe that we now target the relevant physician population more precisely, speak to those physicians more effectively and have been listed a specialty pharmacy (inaudible) Cushing syndrome patients. In addition and importantly we are working to complete our Phase 3 trial of Korlym for psychotic depression and to advance through the clinic’s several of our next generation compounds. I am going to stop here and answer any questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Our first question will be Charles Duncan with Piper Jaffray. Please go ahead with your question.
Roy Buchanan - Piper Jaffray: Hi, guys. This is Roy in for Charles. Thanks for taking the question.
Dr. Joseph Belanoff: Hey, Roy.
Roy Buchanan - Piper Jaffray: I have a question about the Phase 3 in psychotic depression. I didn’t quite follow the -- so you are going to have the interim data or you have it already and you are going to submit that shortly, and once the FDA agrees to the protocol, you are going to announce details, does it include efficacy data, safety data, or just protocol data?
Dr. Joseph Belanoff: Okay. So, Roy, let me just clarify it for you. Yes, we have an ongoing study using Korlym to treat the psychotic symptoms of psychotic depression, and that study is – as we had said before, we intend to do an interim analysis of that study, and we are now about at the moment we are going to submit our statistical analysis plan to the FDA, so they will approve the interim analysis that we intend to do. And as soon as we have agreement with the FDA on that plan, we will announce details of that plan publicly. What we also have said is that based on our projections, we think we will be able to release results from that interim analysis in the third quarter of next year.
Roy Buchanan - Piper Jaffray: I see, okay.
Dr. Joseph Belanoff: Is it okay?
Roy Buchanan - Piper Jaffray: Thank you. All right. And then, so I have been bouncing between calls, but could you mention anything about plans in Europe or ex-U.S. for Korlym?
Dr. Joseph Belanoff: We actually didn’t mention any plans, but we are glad to address that. I think as all of you who follow the company for a while know, we do actually plan to apply to the [MMA] (ph) for approval for Korlym in Europe, and those plans have actually moved along quite nicely, and I think that it’s fair to say that in the next several months, we will be submitting our application.
Roy Buchanan - Piper Jaffray: Okay, great. Thank you.
Operator: Thank you. Our next question is Ravi Mehrotra with Credit Suisse. Please go ahead.
Koon Ching - Credit Suisse: Hi, this is Koon asking a question on behalf of Ravi.
Dr. Joseph Belanoff: Hi, Koon.
Koon Ching - Credit Suisse: Hi, how are you guys doing?
Dr. Joseph Belanoff: Good.
Koon Ching - Credit Suisse : I just wanted to know with the current sales force and cost base that you have right now, do you think that’s sufficient to reach all the docs for Korlym or do you think you will need -- or do you envision a scenario where you will have to substantially increase the cost base or sales force to potentially generate a similar type of return on the revenues? Thanks.
Dr. Joseph Belanoff: Well, the first thing I’d like to say is that I think that the number of sales reps that we have added to-date which is 19 have actually been quite effective in getting to many doctors we’d need to cover and weren’t covering previously. I can’t promise to you that 19 is the exact amount that will end up with, it wouldn’t surprise me if over time we had a few. But, it’s roughly going to be in this zone.
Koon Ching - Credit Suisse : Okay, got it. Thank you very much. And also just a quick follow-up question on the psychotic depression trial, I know you said in the past that you intend to finish enrolling enough patients by the end of this year, as that timeline been moved, I just want a little more clarity --?
Dr. Joseph Belanoff: Yes. I think, as we are giving a little bit more details, you know again, people follow the company for a while, as we were finishing our Cushing syndrome program, we really put our psychotic depression program on the backburner and reduced the number of (inaudible), this study could still be active but in fact it was enrolling patients, I guess best to say sort of erratically because there were very few clinical sites at that point. We have now geared up and we have -- about 25 clinical sites have really come online in the last quarter. So, I think we actually know with a much better pace about when we are going to get done. We don’t know exactly when the last patient is going to be enrolled that will be in the interim analysis, but I think we can comfortably say at this point that we feel that in the third quarter of next year, we will be able to release results from that interim analysis.
Koon Ching - Credit Suisse: Okay. Got it. Thank you very much.
Operator: Thank you. Our next question is Daniel Chen with Stifel Nicolaus. Please go ahead.
Daniel Chen - Stifel Nicolaus: Hi, it’s Daniel Chen in for Annabel. Thanks for taking the question. I missed the first couple of minutes, so I was just wondering, sorry if you have shared this already, but do you have any metrics as far as the Cushing launch as far as the number of docs prescribing and if you are beginning to see any repeat scripts?
Dr. Joseph Belanoff: Well, two things, Daniel, and really nice to meet you. In the beginning of the call, you did not miss anything specific in terms of number of physicians who we are covering. We have not disclosed that publicly. What we have said is that the number of physicians who are prescribing Korlym is increasing and the number of physicians who are repeat prescribers is increasing as well.
Daniel Chen - Stifel Nicolaus: Okay. Would you be able to sort of, okay, I guess, there is no way to really quantify that. I guess moving on just as far as this Idis relationship, can you talk about the process leading to that partnership and sort of what you are seeing in the field in the early days?
Dr. Joseph Belanoff: Yes. What I would like to do is pass your question over to Steve Lo who runs our commercial area. He was the person who was responsible for setting up the Idis arrangement. I will let him speak to it.
Daniel Chen - Stifel Nicolaus: Okay.
Steve Lo: Yes, good afternoon. The reason why we selected Idis number one is that they have a rich history and great reputation in performing these types of work related to patients programs globally. We have received request in the past from physicians outside the United States and got that the bridge between now and filing in the EU that we would want to make Korlym available for those patients who need a product. And that was really the intent of putting together this partnership.
Daniel Chen - Stifel Nicolaus: Okay. Thanks very much.
Operator: The next question is from (inaudible) with Bank of America. Please go ahead.
Unidentified Analyst: Thanks for taking my question. Just couple on Korlym, I guess this is – maybe your fourth or fifth quarter now in the market, and I wanted to know whether you are seeing any changes in discontinuation rate and maybe an idea for the average dose being used currently?
Dr. Joseph Belanoff: We haven’t talked about discontinuation rates publicly, and so I’m not going to sort of speak specifically to it at this point. I think that discontinuations with any medicine can come through a variety of places, this is an illness that it’s very severe and unfortunately some our discontinuations are due to death of patients from metastatic disease and so forth. Could you please repeat your second question?
Unidentified Analyst: What’s the average dose being used?
Dr. Joseph Belanoff: Yes, okay. So, what is, again, in the public domain at this point, as the dose that was used in our clinical trial, which was about 750 milligrams per patient on average, and what we can tell you and I think this is just a repeat of what we said in previous call, but an important point is that we are finding the patients over time due to [titration] (ph) to that level. Patients who are on the 6 or 7 shipment actually get to the same level as patients who are in the trial -- in the clinical trial. I think an important thing just to remind people of is that clinical trial is a little different in the sense that patients are seen more frequently, the titration takes place over a shorter period of time, basically people in the clinical trial where at their full dose is between 14 and 20 weeks. In the real world, patients with Cushing syndrome are not seen as frequently as they would be seen in the clinical trial. And as a consequence, the titration takes place over a longer period of time, but our data indicates that those patients who have been on medicine for a sufficient amount of time get to the same level as the clinical trial patients who have been treated in our study and some of them who have been on the medicine now for 3, 4 years.
Unidentified Analyst: Can you maybe talk about what your sales force is saying now after the drug has been on the market for a year as to what the major challenge is for uptick?
Dr. Joseph Belanoff: Yes, that’s a question I’m really glad to receive. Because I think it has been a very, very interesting year for us. Now, in some sense our year -- in our head is sort of is marked always by the Endocrine Society Meeting, which is in June of each year. And I can tell you that the reaction of physicians between the last Endocrine Society Meeting and this Endocrine Society Meeting really changed in very, very tangible ways. 15 months ago, I think physicians who had been in the trial were concerned that they didn’t understand a mechanism of action of the medicine, the side effect profile and so forth. We really have found that has changed very distinctly in the last year, I think patients -- doctors are much more comfortable with the way the medicine works and what their patients might face when they put their patients on it. And that’s a feedback that we get from our field as well as direct companies we have from -- direct contact we have at headquarters from physicians, and some of the contacts I specifically have with physicians. So I think that, it was really an important hurdle for us to jump over to really be able to explain the mechanism of this – how this trial works. And I think we really found effective ways to prove at this point. And we are actually quite pleased where the trend is and without predicting the future in any serious way. What we have seen in the last three or four months, we really think we can build on to go forward.
Unidentified Analyst: So, has there been any change internally up to your estimates of how many addressable patients there are?
Dr. Joseph Belanoff: There is not. The only thing that I think is interesting and again, I will just point you to the literature for that, is the group of patients with Cushing syndrome for whom there was not a lot of specific information and we did not study, as the group of patients what are called adrenal adenomas, non-cancers tumors of their adrenal gland. There is a recent publication for the group in England indicating that short-term treatment with mifepristone was quite effective in reducing the metabolic burden that these patients has. So these are patients who have glucose and tolerant and the medicine seemed in this group of patients who really effectively treat that in a relatively short period of time. Now that’s a group of patients we have not sized, if you go to the publication they have their own estimates, but those group protecting for patient population is not included in our current estimate patient size.
Unidentified Analyst: Okay. And then just to clarify the PMV study, I think you previously you are indicating interim read by the end of this year. So, if I understand correctly, is that interim read now pushed out to 3Q of next year?
Dr. Joseph Belanoff: No, in fact, what we’ve said previously just to repeat it as we thought we would have enrolled enough patients at the end of the year to do an interim analysis. And now we’re saying I think is a more concrete piece of information that the interim analysis we now believe would be able to be share publicly in the third quarter of next year. So, we’re not, we did not plan -- we never take prior to this that we plan to release the interim analysis at the end of the year.
Unidentified Analyst: And then the last question I have is what data are you presenting at the San Antonio Breast Cancer Meeting?
Dr. Joseph Belanoff: We’re not representing any data. What I said is that the group in the University of Chicago who is studying mifepristone in triple negative breast cancer has submitted an abstract to present that first human data at the San Antonio Breast Cancer Meeting. What I really wanted to highlight because it’s all, in the public domain, it’s a whole mechanism for action and live Cortisol antagonism might had utility in this particular group of patients, has now all been publicly released most recently at the Endocrine Society Meeting both models and cell culture as well as in animal models. And the abstract for the first human data has been submitted and maybe presented at the San Antonio Breast Cancer Meeting.
Unidentified Analyst: Okay, thanks.
Operator: Our next question is Kim Lee with Janney Capital. Please go ahead with your question.
Kim Lee - Janney Capital: Good afternoon. I apologize that if all my questions have been answered. I joined the call later. But can you tell your view of how the Korlym launch is going after four or five quarters of launch considering that I guess sales this quarter miss (inaudible) about $1 million. How can you help us kind of look at the revenues going forward for the rest of this year? And also specifically just to jolt down in more detail about the challenges that you find in this process, so specifically so challenge in identifying the right patients or educating physicians or can you elaborate a little more on that? Thanks.
Dr. Joseph Belanoff: Yes. Okay, so two questions or maybe three questions. The first is how we think is going? We actually think that the rock is beginning to move. We really feel at this point in time that we understand our group of physicians, we know how to talk to them. We had a good way of distributing medication for them. And I think that’s represented by 40% increase in apples-to-apples revenues from the first quarter to second quarter. No, I’m not predicting revenues for the rest of the year. But I think many of the things that we did right in the second quarter, we’re continuing to do right and build upon. So, we’re actually quite optimistic about the year-to-year change and how the medicine is being accepted by physicians and patients. As I said earlier Kim, I think you probably were not on the line, our reason to hold, the medicine really works and the patients can get to the appropriate dose on the medication I think that they can really expect to see good responses as they did in the clinical trial. It’s really no different in the commercial world. So, I think that’s, that’s the major thing I think that I can really tell you, if you have a more specific question, I’m glad to try to answer it.
Kim Lee - Janney Capital: No, that’s helpful. And I guess what specific hurdles did you find that you need to overcome to kind of get the ramp moving up a bit? Is it slow or you’re finding chances and identifying patients because a lot of new patients maybe misdiagnosed or is it educating physician, how do you view that?
Dr. Joseph Belanoff: Okay. Well, again, I just want to point out that the ramp is moving. Again, if you look sort of the quarter-to-quarter progress, there really is substantial progress and again without predicting the future, I think the things that addressing some of the challenge we saw previously I think your reach an ongoing better way of dealing with this group. Now, I still think the biggest challenge is not necessarily finding patients but having physicians feel comfortable with the use of their medication and I feel in that area we made a great deal of progress. I think we really in the field know-how to explain, how the medication works about which patient is likely to be most effective for and how to use it. I think it’s really all happening at this point. Now, there are always challenges. I actually think you know and I think at this point, I had not, maybe you are not on the call. I mean there was always a limited group of doctors who have seen medicine work really like that and they are using for their patients. That number has now grown, however, we are far from at this point the ultimate prescriber base that we expect to have over a period of time. And this I will repeat, we still view the biggest challenge is getting a paid for doctor form there is 0 patients treated to 1 patient treated. Because once they seen the medicine work with a single patient it gets much easier for them to use for additional patients. So, in some sense that hurdle was still there but we feel like we have a better sense of how to jump that hurdle than we had previously and I can tell you we are jumping it better than we did previously.
Kim Lee - Janney Capital: Thanks for the clarity. And I believe – was it previously you had 10 person sales force and I think I heard you mention that you now have 19. Is that correct?
Dr. Joseph Belanoff: Yes, sort of reach back. We initially had between 7 and 10 medical science liaisons and you know it’s an interesting thing to find out that basically these patients while they often start out at academic centers often covered by medical science liaisons. When other treatments don’t work for them they don’t return to those academic centers they tend to just be in the community where they live. And we discovered that relatively early on and then we geared up and have actually now put a sales person in place to cover those physicians. The number is 19 at this point and as I said earlier on the call may go to a few more although we feel like we are covering a lot of ground with those 19 and if they are productive.
Kim Lee - Janney Capital: So, were these all from 10 to 19 the succession where they all added this past quarter or when were they hired?
Dr. Joseph Belanoff: It was really from 0 to 19 and it’s really within I guess the last 2 quarters.
Kim Lee - Janney Capital: Okay, great. And can you remind us how many physicians your sales force is targeting?
Dr. Joseph Belanoff: Well, again, I am going to pass you over to Steve Lo for (inaudible) runs our commercial area. But I want to remind you there are sort of gradations of physicians and we are trying to get to several levels of them. Those with the academic centers treat more patients but than those who are who are in a community. So I am going to pass you to Steve, just so you get a chance to meet him for a second, Kim.
Steve Lo: Hi, Kim. So as Joe had mentioned before, we originally started with the academic centers and we were targeting 300 physicians within the academic centers but what we have found in fact a good majority of our prescriptions now are coming from a community as Joe has mentioned as well. And so by hiring these additional 19 folks we are able to reach close to 3000 endocrinologist out there. So we have really expanded recently our reach to the right physicians.
Kim Lee - Janney Capital: Okay, great. And have you been able to target all 3000 or is that your goal?
Steve Lo: That’s our target but we do have them quantified into certain tiers and so we actually have been really happy with the fact that we’ve called on the top tier of physicians and again we have gathered from claims data from IMS that told us which physicians have treated patients with Cushing syndrome in the past.
Kim Lee - Janney Capital: Okay. And then possibly how many physicians are in your top tier target?
Steve Lo: We haven’t disclosed that number but if you were to just do a natural tearing, yes, you are probably talking about 1500 or so in the top tier.
Kim Lee - Janney Capital: Okay. Thanks for that clarity. And then if I may add another question here about the European – size of the European market, how do you view that size of the market? And what kind of pricing would you want to be going for? Would you be pricing at a discount to U.S. or are you going to try and maintain U.S. pricing? Thanks.
Dr. Joseph Belanoff: Yes. Kim, so first, I think most important, Cushing syndrome is a worldwide disease. It occurs epidemiologically in every culture at about the same rate. So Europe is roughly the size or maybe somewhat bigger than the United States in patient population is proportional. What’s interesting about Europe is that one of the things we discovered and maybe it’s not too much of a surprise is that the market tends to be more concentrated. The national healthcare systems there direct people into certain centers so that rather than having hundreds and hundreds of doctors treating Cushing syndrome many fewer do. So it’s a more concentrated market in each of the countries in Europe. How much frankly makes it more addressable by small company like ours, if we in fact make the decision to do it by ourselves. Well, we haven’t announced whether we will do that or whether we will partner at this point. The pricing of course in Europe is an issue in the sense that most drugs are priced in a significant discount to U.S. prices in Europe. But if interestingly if you look at where orphan drugs are, that isn’t necessarily to say. That isn’t necessarily the case. I don't know we’re working to end up in our pricing, okay, but it’s something that we really think about a lot in terms of our launch there. But kind of one step at a time at this point, our big goal and we work very hard and I think really keeping on our time schedule to do it, is to get the medication approved in Europe and that’s on track.
Kim Lee - Janney Capital: Great, thank you.
Dr. Joseph Belanoff: All right. It looks like we have come to the hand of our questions. So, thank you all very much for listening in and I’ll look forward to seeing you down the road and certainly by this time, our next quarter conference call.
Operator: Thank you, ladies and gentlemen. This concludes today’s Corcept Therapeutics conference call. Thank you all for attending. You may now disconnect.